Operator: Ladies and gentlemen, thank you for standing by. Welcome to this morning's Belden Reports Fourth Quarter and Full Year 2022 Results Conference Call. [Operator Instructions] I would now like to turn the conference over to Aaron Reddington, Vice President, Investor Relations. Please go ahead, sir.
Aaron Reddington: Thank you, Jess. Good morning everyone and thank you for joining us for today's Belden's fourth quarter 2022 earnings conference call. With me today are Belden's President and CEO Roel Vestjens; and Senior Vice President and CFO, Jeremy Parks. Roel will provide a strategic overview of our business, and then Jeremy will provide a detailed review of our financial and operating results, followed by Q&A. We issued our earnings release earlier this morning, and we have prepared a slide presentation that we will reference on this call. The press release, presentation, and transcript of these prepared remarks are currently available online at investor.belden.com. Turning to Slide 2 in the presentation. During this call, management will make certain forward-looking statements. For more information, please review today's press release and our most recent annual report on Form 10-K. Additionally, during today’s call management will reference adjusted or non-GAAP financial information. In accordance with Regulation G, the appendix to our presentation and the Investor Relations section of our website contain a reconciliation of the most closely associated GAAP financial information to the non-GAAP financial information we communicate. I will now turn the call over to our President and CEO Roel Vestjens.
Roel Vestjens: Thank you, Aaron, and welcome to the Belden team. As a reminder, I'll be referring to adjusted results today. Now please turn to Slide 3 for a summary of the major accomplishments we achieved in 2022. First, we delivered another outstanding quarter, with total revenues and EPS that exceeded expectations for the 11th straight quarter. For the full year 2022, we delivered record revenues of over $2.6 billion and record EPS of $6.41. I would like to thank our global teams for their strong execution in navigating a complex and challenging environment while supporting the needs of our customers with innovative solutions. Revenues for the year increased by 16% organically, with double-digit organic growth in both segments. On top of record revenues and EPS, we also expanded our EBITDA margins to 17.0%, up 90 basis points for the year, driven by strong leverage on our organic growth. Our strength in 2022 was broad-based across our businesses as we continue to transition from a supplier of trusted products to a value-added partner in the design and implementation of network infrastructure solutions. We are very excited about our progress, which is reflected in our strong financial performance. Second, our capital allocation strategy continues to be balanced and disciplined to drive long-term shareholder value. As we grew EBITDA and generated $220 million of free cash flow in 2022, net leverage declined to 1x at the end of the fourth quarter, down from 2.1x at the end of the prior year. This level of net leverage provides us with significant flexibility to execute our strategic plans, while pursuing organic growth opportunities, M&A, and returning capital to shareholders, all while staying below our target of 1.5x net leverage. Third, we remain focused on deploying capital towards high return opportunities. Our top priorities include investments in new product innovation and our solution selling capabilities, strategic bolt on M&A opportunities, of which we completed three in 2022, and finally returning capital to shareholders through our share repurchase program, under which we repurchased 2.6 million shares for $150 million in 2022. Fourth and finally, at our 2022 Investor Day last June, we set forth a target of $8 EPS by 2025. I am happy to report that with our strong performance in 2022, we are ahead of our internal plan in reaching that goal. In summary, this was another excellent quarter for Belden which concluded another record year. Now please turn to Slide 4, and I will provide an example of our strategy in action with details around how product innovation in fiber is leading to exciting customer wins. Over the years, in our Broadband & 5G business, we have strategically invested in fiber optic technology and solution building. Our solutions focus on reducing our customers' operating expenditures and deployment time. Over the last three years, we have grown our fiber business within Broadband & 5G meaningfully. Our fiber specific revenues increased 59% organically in 2022 with a three-year organic revenue CAGR of 29%. Further in 2019 fiber represented 16% of the total Broadband & 5G business, and as of 2022 fiber now accounts for 37% of the total. Such growth highlights the success of the investments we have made to ensure Belden is in the right markets with industry-leading solutions. On that note, I am happy to report that we received a meaningful win in the fourth quarter for our fiber cabinet solutions from a large telecommunications company based in the Netherlands. The commitment of approximately 8,000 fiber cabinets will provide the business with a total of approximately $50 million over the next four years. Our fiber cabinets offer an easy to configure solution, reducing cost and deployment time, both critical decision points for our customers. This is the largest single fiber commitment for our business and highlights the growth we have made in the marketplace as well as the future opportunity ahead. Looking forward we see multiple favorable trends benefiting our Broadband and 5G market. I outlined many of these in our recent Investor Day but let me spend a minute reviewing the key themes. First, rural broadband has become a major focus with meaningful federal investments in recently passed legislation. We see combined broadband investment totaling $85 billion in the United States which will provide meaningful growth opportunities for Belden. Second, to meet the increasing bandwidth demand, MSOs are reinvesting in the networks to preserve the current customer base amongst increased competition. Our portfolio of solutions positions us to support these multiyear upgrade cycles. And third, major 5G rollouts will dominate wireless carrier spend over the next five plus years. This will include macro cell upgrades and new small cell construction. As 5G cell sites need both fiber as well as power, this will allow Belden to participate in multiple ways. So to summarize, we continue to see strong demand from network operators for our fiber connectivity products. We offer easy-to-use fiber solutions which allow customers to install fiber connections quickly and reliably. We see favorable long-term trends driven by the ever-increasing demand for high-speed broadband and the resulting investments required to upgrade networks. I will now ask Jeremy to provide additional insight into our fourth quarter and full year financial performance.
Jeremy Parks: Thank you, Roel. I will start my comments with results for the fourth quarter and full year, followed by a review of our segment results and a discussion of the balance sheet and cash flow performance. As a reminder, I will be referencing adjusted results today. Now please turn to Slide 5 in our presentation for a review of our fourth quarter results. We delivered meaningful growth and margin expansion again this quarter. Fourth quarter revenue increased 8% year-over-year and 12% organically to $659 million, exceeding our guidance range of $635 to $650 million. We had another impressive quarter in Industrial Automation with revenues increasing 18% organically. We continue to see compelling longer-term demand drivers for automation solutions as industrial customers respond to labor shortages, capacity requirements, and reshoring of production. Enterprise Solutions revenue increased 6% year-over-year on an organic basis, with solid mid-single digit growth in both Broadband and 5G and Smart Buildings. As expected, we ended the year with over $800 million in backlog which was up 20% year-over-year. As the supply chain continues to stabilize, we expect our backlog to decrease to a more normalized level. We ended the quarter with a book-to-bill of 0.91 which was down modestly from 0.95 in the prior quarter. From a full year perspective, we ended 2022 with a book to bill of 1.04, with similar performance in both segments. Gross profit margins in the quarter were a robust 37.8%, increasing 280 basis points compared to 35.0% in the year-ago period. Gross profit margins benefited from better than normal product mix combined with leverage on higher volume levels and the impact of price increases enacted earlier in the year. EBITDA in the fourth quarter increased 14% year-over-year to $115 million. EBITDA margins expanded 90 basis points, from 16.5% in the year ago period to 17.4%. Net income in the quarter was $76 million, up 28% from $60 million in the prior-year period. And EPS increased 35% year-over-year to $1.75, compared to $1.30 in the year-ago period and exceeded our guidance range of $1.60 to $1.70. Now please turn to Slide 6 for a review of the full year 2022 results. Belden achieved both record revenues and record EPS in 2022. Both segments grew double digits organically, and at the same time we expanded margins. To quickly highlight our performance, revenues increased 13% versus the prior year and 16% organically to a record $2.6 billion. Our revenue performance was strong in both segments with Industrial Automation Solutions growing 19% organically and Enterprise Solutions growing 13% organically. EBITDA increased 19% to nearly $444 million. EBITDA margins expanded 90 basis points, from 16.1% in the year-ago period to 17%. Net interest expense was $44 million for the year, down from $63 million in the prior year, benefiting from the early debt repayment that we completed in the first quarter as well as favorable foreign exchange rates. At current foreign exchange rates, we expect net interest expense to be flat at approximately $44 million for the full year 2023. Our effective tax rate was 19% in 2022. We expect an effective tax rate of approximately 20% for the full year 2023. EPS increased 35% for the year to a record $6.41, compared to $4.75 in the year ago period. We were very pleased to deliver such robust growth and margin expansion once again. Turning now to Slide 7 in the presentation for a review of our business segment results. I will begin with our Industrial Automation Solutions segment. As a reminder, our industrial solutions allow customers to transmit and secure audio, video, and data in harsh industrial environments. Our key markets include discrete manufacturing, process facilities, energy, and mass transit. The Industrial Automation Solutions segment generated revenues of $1.4 billion, increasing 15% from $1.2 billion in the prior year. As mentioned previously, Industrial Automation revenues increased 19% on an organic basis, with double-digit growth in each of our primary market verticals. Industrial Automation segment EBITDA margins for the year were 19.7%, increasing 150 basis points compared to 18.2% in the prior year, due to solid operating leverage on volume growth and favorable pricing. Turning now to our Enterprise segment. Our enterprise solutions allow customers to transmit and secure audio, video, and data across complex enterprise networks. Our key markets include broadband and 5G and smart buildings. The Enterprise Solutions segment generated revenues of $1.2 billion, increasing 12% from $1.1 billion in the prior year. As mentioned previously, segment revenues increased 13% organically. Revenues in Broadband and 5G increased 15% on an organic basis due to solid execution and strong demand for our fiber connectivity products. As Roel mentioned, the trends for this business remain strong, and we are encouraged by the early impacts of government funding for network upgrades. Revenues in the Smart Buildings market increased 10% on an organic basis. Our continued focus on growth verticals, particularly healthcare, governments, and data centers, contributed to the solid revenue performance. Finally, Enterprise Solutions segment EBITDA margins were 13.5% compared to 13.4% in the prior year. We saw the benefits of leverage on higher volumes and favorable pricing, offset by a temporary cost increase to expedite materials in the first quarter, and a one-time bad debt expense in the fourth quarter. That being said, I am very encouraged with how the segment ended the year with fourth quarter EBITDA margins of 14.1%, up 60 basis points compared to 13.5% in the prior year period. If you will please turn to Slide 8 for our balance sheet highlights. Our cash and cash equivalents balance at the end of the fourth quarter was $688 million compared to $548 million in the third quarter and $642 million in the fourth quarter of 2021. Days sales outstanding of 60 days, compared to 56 days in the prior year and 59 days in the prior quarter. Inventory turns were 4.8x, compared to 4.7x in the prior year and 4.9x in the prior quarter. Our financial leverage was 1.0x net debt to EBITDA at the end of the fourth quarter, compared to 1.1x in the third quarter and 2.1x a year ago. As we communicated in our 2022 Investor Day, we intend to maintain net leverage of approximately 1.5x going forward. For the full year, we repurchased 2.6 million shares for $150 million, at an average price of approximately $58 per share. Going forward our capital allocation priorities will be balanced, emphasizing organic growth initiatives while also considering strategic M&A and additional share repurchases. Please turn to Slide 9 for a few cash flow highlights. Total cash flow from operations for the fourth quarter was $202 million, up 19% compared to the prior year. Capital expenditures were $55 million in the quarter, up from $35 million from the prior year. For the fourth quarter, we achieved free cash flow of $148 million, down from $162 million in the prior year. As a reminder, in the fourth quarter of 2021, our free cash flow realized a combined $54 million benefit from the sale of a note receivable related to the Grass Valley divestiture as well as a sale leaseback transaction for a facility in Germany. For the full year, we achieved free cash flow of $220 million, up from $211 million in the prior year. That concludes my prepared remarks. I would now like to turn the call back to our President and CEO, Roel Vestjens, for the outlook.
Roel Vestjens: Thank you, Jeremy. Please turn to Slide 10 for our outlook. While macro conditions remain uncertain as we enter 2023, our portfolio is designed to deliver organic growth in excess of GDP. We are confident in our ability to execute our strategy and generate sustainable, long-term shareholder value. Our transformed portfolio aligns Belden with key long-term secular trends that have lengthy investment cycles. Investments in automation, reshoring, increased connectivity, increasing bandwidth usage, and network upgrades all bode well for Belden to produce sustainable earnings growth. For the full year 2023, we expect revenues of $2.67 billion to $2.72 billion. This represents consolidated organic growth of 3% to 5%. And when we dig deeper, we see Industrial Automation growing organically in the mid to high-single digits, and Broadband and 5G growing organically in the mid-single digits. In Smart Buildings, we anticipate slightly lower growth in 2023 compared to our long-term expectations. We see Smart Buildings being more impacted by recent macro uncertainty and are currently expecting a flat year of organic growth. Now that being said, our long-term view of the Smart Buildings market remains unchanged. We expect full year 2023 EPS to be $6.60 to $7, representing EPS growth of approximately 3% to 9%. For the first quarter, we expect revenues of $615 million to $630 million, with organic growth between 3% to 6%. We expect first quarter EPS to be $1.50 to $1.60. Now please turn to Slide 11 to review our value creation framework and a quick reflection on the progress we have made in 2022 and over the last three years. First, I would like to reiterate our value creation framework. Our commitment is to drive EPS to $8 or more by 2025 through organic growth in excess of GDP, healthy margins, robust cash flow, and disciplined capital allocation. When we set the $8 goal at our Investor Day last June, we were targeting 2022 EPS of $5.70 and as discussed previously, we substantially beat our initial goal with actual EPS of $6.41. Looking forward, with our new EPS guidance range for 2023 at $6.60 to $7 we are well ahead of internal plans to achieve our 2025 target. Next, I would like to take a moment and recognize the significant progress our team has made at transforming Belden over the last three years. If you recall I was appointed CEO of Belden in May of 2020, a very interesting time for sure. And reflecting on what we have accomplished since, I am incredibly proud of the team and the efforts we took to reshape Belden’s future. First, we made the decision to divest slow growing businesses that required excessive amounts of capital. Second, we refocused our investments towards core businesses with attractive growth dynamics. And third, we reshaped the balance sheet to significantly reduce our leverage and increase our financial flexibility. The outcomes of our efforts have been impressive. On a pro-forma basis we have grown considerably, with an organic revenue CAGR of 7%, an EPS CAGR of 17%, and we achieved a return on invested capital of 18.5% in 2022 compared to 9.2% in 2020, up 930 basis points. Finally, we also reshaped the balance sheet and decreased our net leverage considerably to 1.0x at the end of 2022. Our streamlined business with a focus on product innovation and solution-based sales provides the framework to capitalize on key growth trends. We see meaningful long-term opportunity in our markets and will continue to invest accordingly. Now to conclude, I would like to recognize the hard work from our global teams as the business encountered significant challenges these past few years. From supply chain disruptions to inflationary pressures, we have successfully navigated the operating environment and delivered record results. That concludes our prepared remarks. Jess, please open the call to questions.
Operator: [Operator Instructions] Our first question comes from Reuben Garner with The Benchmark Company. Your line is open. Please go ahead.
Reuben Garner: Thanks, good morning, everyone, and congrats on another strong quarter.
Roel Vestjens: Thank you, Reuben.
Reuben Garner: I guess just start in your outlook for this year, maybe if you could just talk about the underlying economic assumptions embedded in that range. And I guess how sensitive your business is to slowdown in the [technical difficulty] economy. I know you have some things going that can kind of -- maybe insulate you from that, but if you could give us a little more detail there would be great.
Roel Vestjens: Yes. First of all, I appreciate the nice words Reuben. Secondly, we are humble enough to recognize that it's very hard for us to predict the future even within the same year that we live in. So we feel good and we think the -- based on our strong guidance and we feel good that the macro or the secular trends that our businesses favor from will prevail. So there is a case to be made that if we start with industrial automation that higher cost of capital will only increase the need for automation at factories. There is a strong case to be made that is deglobalization trends that we're seeing is going to continue, and hence the reshoring activities that we're already seeing that we're already starting to benefit from will continue. In Broadband and 5G because of the tremendous stimulus that the United State government decided is required, I think that business will prevail well, and is not really tied to higher interest rates or macroeconomic conditions because of this stimulus. And as we recognize, smart buildings that will be a little bit tougher this year, we did very, very well in 2022. Strong growth in the high-growth verticals double digits even in Q4 as we predicted in data centers, the government and health care facilities, but that business will be a little bit tougher this year and hence we re-lowered expectations to flat.
Reuben Garner: Is there any way to -- I know you referenced the $85 billion in the Broadband and 5G, any way to reference, what kind of benefit you're getting from the federal stimulus and kind of what kind of visibility it gives you over the next couple of few years.
Roel Vestjens: It's obviously hard to express that in terms of dollars, because we're not, we cannot control to what extent at which pace the funds are being distributed, but we're seeing it now we saw it in the fourth quarter and we're seeing the deployments occurring. So we expect, it's obviously a massive amount we expected to take five plus years as we highlighted in our prepared remarks. And since we have such a broad product portfolio within that segment that within that business we benefit in multiple ways from network upgrades. So it's hard to quantify that in terms of dollar terms, but we will significantly benefit.
Reuben Garner: Okay. I'm going to sneak one more in, if I could. So, you referenced in your margin outlook, I think you referenced something about the supply chain normalizing in backlog normalizing. Is there any risk to the pricing in the industry and for you guys that you had just as things normalize and it's easier to get products, is that something that you've accounted for in your margin outlook for this year.
Roel Vestjens: Our pricing expectations for 2023 it's pretty similar to our exit rate of 2022. We don't expect further prices to increase if they will, then obviously we will adjust. We've been -- I think it's fair to say successful in passing on these quite significant price increases. These inflationary pressures that we felt. As we pointed out throughout the last two years. So I'm not worried about it. If prices were to drop significantly, then we were to adjust our pricing as well, because we've always been straight and honest when it comes to setting expectations and in passing on what we perceive as input costs.
Reuben Garner: Great, thanks. Congrats again and good luck this year, guys.
Roel Vestjens: Appreciate it. Thank you.
Operator: Our next question comes from Chris Dankert with Loop Capital. Your line is open. Please go ahead.
Chris Dankert: Hi, good morning and congrats on a great 2022 everyone.
Roel Vestjens: Thank you.
Chris Dankert: I guess kind of digging in very strong outlook for '23, I think that caught my eye the most is though if I look at kind of the assumption for Broadband and 5G growth a little bit more modest than I would have assumed, I guess given the fact that you've got a heck of an organic comp there. Is it just an assumption that hey, we've got high hill decline and then some of the stimulus money is probably going to be flowing through more fully in 2025. Just help understand, how conservative or just me size that mid-single digit organic assumption in broadband for us.
Roel Vestjens: Yes, there's, I guess, two comments that I'd like to make. First, we obviously feel confident about our guidance because otherwise that's not the guidance we would have issued. We don't expect to miss it. But secondly, please understand that that business is a global business and the stimulus obviously applies to the United States. So in other parts of the world depending on how macro conditions manifest themselves, that might be -- that growth might slow down. So we thought it was prudent at this point in time to spell out mid-single digits.
Chris Dankert: Got it. That makes complete sense. And then again, we've been having some noise and the impact of raw materials and copper. Maybe just you could highlight kind of what that impact was on gross margin in the quarter and kind of what you're assuming for 2023 from raw materials?
Jeremy Parks: Yes. So I'll start with the 2023 assumption, Chris. So we're not expecting any material change in copper on a year-over-year basis. And with respect to other materials, they sort of net out to not very much. A little bit of inflation in compounds and resins, offset by some cost reductions in logistics. So everything sort of nets out to not a very material impact. In terms of Q4, the copper was actually down a little bit at a year-over-year basis. Call it roughly $15 million. And other materials were up kind of in the same ballpark or were up maybe $10 million a year-over-year basis. Hope, that's helpful.
Chris Dankert: That's very helpful. I guess I'll leave it there and hop back in queue. Thanks so much guys.
Roel Vestjens: Thank you, Chris.
Operator: [Operator Instructions] We will go next to David Kelley with Jefferies. Your line is open. Please go ahead.
David Kelley: Hi, good morning, guys. Thanks for taking my questions. I was hoping to ask broadly about channel exposure. We've heard from some other suppliers that are seeing some pockets of destocking. So could you talk about demand from your distribution partners and how you're thinking about channel visibility into 2023?
Roel Vestjens: Yes, sure. So I appreciate the question. So we have pretty good visibility and the inventory levels of our channel partners. Throughout decades, we built up and continuously improved that visibility and important sale information that we received from our channel partners. So the inventory turns at our channel partners, right? That's how we measure the levels that they have, whether they're appropriate or not are unchanged. They're pretty much unchanged and they are where we need them to be. So when business -- bonus sales goes up, then obviously they carry a little bit more inventory. When it comes down, they carry a little bit less inventory. But we have not seen nor are worried about massive destocking at our channel partners.
David Kelley: Okay, got it. That's helpful. And maybe shifting gears just in light of the $1 billion free cash target through 2025 cumulative. Can you talk about the free cash conversion set up into 2023? And if there are any kind of one-off factors we should be thinking about modeling here?
Jeremy Parks: Yes. Hi, David. This is Jeremy. So I think we had a pretty good year in 2022 in terms of conversion to net income, we are about 77% I think. I would expect that to improve gradually over the next few years. And probably in 2025, we'll be closer to 100%. So our plan is to invest first in organic growth, which means we are spending a bit in CapEx ahead of depreciation. So I would plan maybe 80% conversion in 2023 and then ramping up over the next couple of years.
David Kelley: Okay, perfect. Thanks guys. I will pass along.
Jeremy Parks: Thank you.
Roel Vestjens: Thank you.
Operator: Our next question comes from Noelle Dilts with Stifel. Your line is open. Please go ahead.
Noelle Dilts: Hi, thanks. And again congrats on the strong 2022. I was hoping you could just dig a level -- can go level deeper into some of your growth assumptions for specifically industrial for 2023, any notable growth or outliers in terms of how you're thinking about the various verticals, discrete process energy, etcetera? And then maybe within that, you could touch on how you're thinking about the growth outlook for your software and data solutions? Thank you.
Roel Vestjens: Thank you, Noelle. Thank you for the question and thank you for the kind words. So the assumptions per vertical in the industrial automation solution space don't differ that much from each other, but positive outliers are discrete. So we see discrete automation within that food and beverage. We see -- we expect above average growth and energy. Our energy vertical we feel very, very good about as we see this transition all over the world and with the current energy "crisis", the solutions that we provide for our customers there. So those are positive outliers that we see even in the industrial automation space. And as far as the software is concerned, we only launched that solution in June as you know. I think we called out our first order last call. So it's kind of pointless to talk about percentage growth because the base is so small. But we feel very good about the traction that we have. We feel extremely good about the level of interest. And it might be interesting to point out that we don't typically -- we don't market that product as a standalone product, it's part of a solution. It enables a solution for our machine builders, for our industrial customers.
Noelle Dilts: Great. Okay, great. And then maybe kind of a similar line of questioning on the enterprise solutions side. I mean, when you look at 5G, there's been -- I think you're going to see kind of mix trends in terms of the carriers next year and how much they're spending on 5G. I guess, any thoughts on, I guess, the cadence of that spend next year? And then in broadband, I guess any notable trends in terms of what you're seeing from cable versus telcos and how much is rural coming into play? And I guess anything -- how are you thinking about outside the home versus inside the home? Thanks.
Roel Vestjens: All right. So first of all on the 5G spend, it's obviously a little bit hard to predict. And I do think that, that element of the business globally, it will be a little bit tied to macro conditions So in our growth assumptions, that growth is still is very modest. The lion's share of our growth will come from our MSOs. And from our MSOs and from international. So that's one. Two is cable versus telcos. Yes, we see that telcos expand their broadband offerings. So -- and as you know, we play on both sides. It doesn't really matter for us. So yes, that -- we see them gaining traction and we see the MSOs gaining traction with offering voice solutions, right? So we play on both sides. So that is great for us. As far as inside versus outside, we -- our expectation is that that trend will further increase the outside of the home. So in 2022, we ended with 76% of our revenue outside of the home and we roughly expect that to go to 79%, 80% in 2023.
Noelle Dilts: Okay. Great. Okay. Thank you.
Operator: Our next question comes from Mark Delaney with Goldman Sachs. Your line is open. Please go ahead.
Mark Delaney: Good morning. Thank you for taking my questions and let me have my congratulations on the strong results for 2022.
Roel Vestjens: Thank you, Mark.
Mark Delaney: First question is on pricing. So if I understood correctly, the assumption is that pricing stays in 2023 at the levels that were seen in the fourth quarter. I believe though the company was raising price over the course of 2022. So if pricing holds at current levels, I would think there might be some year-over-year benefit in 2023 relative to '22 in total. So if I'm understanding that correctly, maybe help us understand how much of a full year pricing benefit there may be this year just given that flow through dynamic?
Roel Vestjens: Since the -- I appreciate the question, Mark. Since the price increases that we've launched in the second half of the year were relatively modest. The pricing element of our organic growth guided for 2023 is very modest. It's less than a percent.
Mark Delaney: Got it. Thank you for clarifying on that. That's helpful. And my second question was better understanding the backlog and bookings dynamics. You mentioned the very strong backlog. I think you said up 20% year-on-year. And similar to a lot of the other companies in this space, we've seen bookings could come down given how much backlog covers there is and customers don't need to order quite so far in advance. But the question though is as we're thinking about what's necessary in terms of new bookings to get to the organic growth targets for '23? When do you think book-to-bill would have to get back above 1?
Jeremy Parks: Yes. So Mark, our expectation in 2023 is that book-to-bill stays below 1. As far as where we need it to be, like what is the absolute lowest amount of orders, I think that's a good question. That's kind of difficult to answer but my expectation and our expectation and what we've heard from the teams is that book-to-bill probably doesn't get any worse than where it was in the fourth quarter at 0.91 and gradually improves over the next couple of quarters.
Mark Delaney: Thank you.
Operator: We'll go next to William Stein with Truist Securities. Your line is open. Please go ahead.
William Stein: Great. Thanks for taking my question. Congrats on the good results and pretty remarkable outlook I would say. I'm hoping to focus on some longer term things. Someone asked about the software. I think that's an important one, but another is customer innovation centers that you've begun to open. I'm hoping you can update us on how that's influencing your selling motion, your solution selling and demand trends generally?
Roel Vestjens: I very much appreciate that question. Yes, we're very happy with the results. So just a quick reminder, while we opened the first one in Stuttgart, Germany fully operational, we opened the second one in Santa Clara, California. We -- I'm planning on visiting the third one, which will be in Shanghai in the end of this quarter. And soon thereafter, we will open the fourth one in Chicago, Illinois and later on this year in Bangalore, India. The feedback has been extremely positive from our customers. And a significant part of the opportunities that are in the sales funnel stem from the interaction that we have with our customer at the customer innovation center. So this transition that we've been talking about from a component supplier to solutions provider is not an easy transition. I think in the past, we reference having to change compensation plans for our salespeople, having to hire solutions consultants, et cetera, et cetera. But obviously, you have to have a environment including technical capabilities that provide our customers with the confidence that we're able to indeed provide those solutions and that we're able to demonstrate at those innovation centers. So I could not be happier with the results we have and therefore we're rapidly expanding them to the initial five that we've communicated.
William Stein: Great. Thank you. One other one I guess is about capital allocation. You've talked about the focus on organic growth and also about potential for M&A both sounding like they prioritize over buybacks. I believe buybacks decelerated a little bit in Q4. I'm just trying to square that with what sounds like an incrementally positive outlook, especially relative to the macro. Should we interpret this as perhaps greater possibility that there would be a larger acquisition in the coming few months? Or is that overreading, overinterpreting the data?
Jeremy Parks: Yes, I wouldn't read too much into it, Will. So the truth is that in 2022, we deployed quite a bit of capital. So remember, we paid off €200 million in debt. We bought back €150 million in shares and we bought three companies. So we had deployed quite a bit of capital in 2022. As Roel mentioned in his prepared remarks, we are really well positioned and have a lot of options in 2023 and our focus is going to be investing in organic growth, number one. Number two, investing in bolt-on acquisitions, strategic acquisitions, but unlikely it would be anything significant, anything large and then number three, share buybacks.
William Stein: Great. Thanks and congrats again.
Roel Vestjens: Sure. Appreciate it.
Operator: And with no other questions holding, I'll now turn the conference back to Mr. Reddington for any additional or closing comments.
Aaron Reddington: Thank you, Jess, and thank you, everyone, for joining today's call. If you have any questions, please reach out to the IR team here at Belden. Our email address is investor.relations@belden.com. Thank you very much. Have a good day.
Operator: Ladies and gentlemen, that will conclude today's conference. We thank you for your participation. You may disconnect at this time.